Operator: Good day everyone, and welcome to Sea Limited Fourth Quarter and Full Year 2018 Results Conference Call. [Operator Instructions] And please note that today's event is being recorded. And I would now like to turn the conference over to Howard Soh. Please go ahead.
Howard Soh: Thank you very much. Good morning, and good evening, everyone, and welcome to Sea's 2018 fourth quarter and full year earnings conference call. I'm Howard Soh, Director of Corporate Development and Strategy at Sea. Before we continue, I would like to remind you that we may make forward-looking statements, which are inherently subject to risks and uncertainties and may not be realized in the future for various reasons as stated in our press release. Also, this call includes discussion of certain non-GAAP financial measures such as adjusted revenue, adjusted EBITDA and adjusted net loss. We believe these measures can enhance our investors' understanding of the actual cash flows of our major businesses when used as a complement to our GAAP disclosures. For a discussion on the use of non-GAAP financial measures and reconciliation with the closest GAAP measures, please refer to the section on non-GAAP financial measures in our press release. Let me begin by introducing the management team on the call: We have our Chairman and Group Chief Executive Officer, Forrest Li; our Group Chief Financial Officer, Tony Hou; and our group General Counsel, Yanjun Wang. Forrest and Tony will share strategy and business updates, operating highlights and financial performance for the quarter. This will be followed by Q&A session, in which we welcome any questions you have. With that, let me turn the call over to Forrest.
Forrest Li: Thanks Howard. Hello everyone and thank you for joining today's call. I'm very pleased to announce that we closed out 2018 well ahead of our ambitious targets. Building on our strong results in the fourth quarter, we exceeded the high-end of each of the projections we provided in our latest guidance last year. Let me start by quoting out Garena's success. Our Digital Entertainment adjusted revenue for the full year of 2018 reached $661 million, exceeding the high-end of our guidance by $41 million. In the fourth quarter, we recorded adjusted revenue of $231.4 million, up 50% from the third quarter and it is expected to show further robust growth in the first quarter of 2019.  And our adjusted EBITDA margin for the quarter grows to 45.5% compared to 37.2% for the previous quarter. It is expected to improve further in the first quarter of 2019. We believe Garena's consistent strong performance underlines our success in executing our core strategy to materially expand our Digital Entertainment business from being a PC-focused regional publisher to a global developer and publisher, with core strengths in mobile games and the key focus on emerging markets, which greatly expands our total addressable market size. Free Fire is now one of the most popular battle royale games in the world. We recently hit a new record high of more than 350 million registered users and the more than 40 million peak daily active users. According to App Annie, for the full year of 2018, Free Fire was the fourth most downloaded mobile game in the world across the Apple App Store and the Google Play Store combined. It has also hit the milestone of recording more than 100 million monthly active users. Importantly, we are also making excellent progress on monetizing Free Fire's massive and highly active user base. And this is reflected in our adjusted revenue growth and EBITDA margin improvement. One of the crucial factors in Free Fire's growth is the fast growing and engaged global community of players. Building on this strong community sentiment, from late 2018 we have been rolling out the Free Fire World Cup a global eSports tournament. We believe this global tournament will help to drive sustained excitement and solidify Free Fire's position as one of the leading games in that genre globally. As Free Fire's success has demonstrated, we believe that Garena has built a unique set of capabilities in developing and publishing global hit games that also address the needs of gamers in faster growth emerging markets. We have a deep understanding of the unique profiles and the needs of gamers in such market and unrivaled access to data and insights about these gamers because of our huge user base. We are also deeply rooted in these markets with strong local operations capabilities, and not only in our core markets, but also in other major markets like Latin America. More importantly, with our strong technology and execution capabilities, we are able to quickly identify and take advantage of market opportunities. We now have a strong and growing game development team with more than 200 developers in our games studio in Shanghai. We're working on enhancing Free Fire and on building out our self-developed games pipeline. Free Fire is a great example of how quickly we're able to identify and tap into new market opportunities. It was one of the first mobile battle royale games to come to market. At the same time, our game publishing business continues to grow from strength to strength as global IP holders recognize our unrivaled ability to tap into the faster growing game communities in our region. For instance, we have begun loading out Speed Drifters as the first game that we are publishing under our right of first refusal arrangement with Tencent that we announced last quarter. And I'm pleased to say that we have agreed with PUBG Corporation to bring into our key markets in Southeast Asia PUBG LITE, a PC game adapted from their global hit game PUBG tailored to our region. Looking to the year ahead, we intend to continue to drive growth in our Digital Entertainment business as we continue to build out a world class in-house game development arm and strengthening our publishing capabilities. Turning to E-commerce. Our goals for Shopee in 2018 were to continue to strengthen its market leadership position across its key markets with increasing efficiency and to ramp up monetization, and I'm pleased to say that we have delivered on all fronts. E-commerce GMV for the fourth quarter was $3.4 billion representing, 27% growth on the $2.7 billion in the third quarter. During the quarter, we recorded 206.9 million orders, up 31% from the third quarter. Meanwhile, during the 24 hours of our 11.11 Sale in 2018, we hit a new record for Shopee of over 11 million orders in a single day. And just one month later, during our 12.12 sale we broke that again recording over 12 million orders in 24 hours on December 12. On top of those 12 million orders, approximately 5.4 million came from our largest market Indonesia. Shopee's continuing solidification of leadership in Indonesia is a powerful demonstration of the strong flywheel effect it enjoys. In the fourth quarter, Shopee recorded total orders of 83.8 million or a daily average of 0.9 million in Indonesia, further extending its leadership as the largest E-commerce platform there. For the full year of 2018, Shopee achieved $10.3 billion in GMV, which was above the high end of the recent guidance of $9.7 billion. We provided in the third quarter. Reaching $10 billion in annual GMV was an important milestone for Shopee and an impressive achievement for platform that is just a three years old. You can see the sustained improvements in the efficiency of our sales and the marketing spend. In the fourth quarter, sales and marketing expenses as a percentage of GMV fell once again to 5.4% down from 5.7% last quarter and 8.5% for the same period a year ago. In fact, shipping subsidies declined in absolute dollar terms in the fourth quarter compared to the third quarter. It is important to note that Shopee achieved this sustained improvement in marketing efficiency while its GMV grew by 27% and orders grew by 31% quarter-on-quarter, demonstrating that we are able to both grow our platform, while increasing efficiency at the same time. We are able to do this because of the durable leadership position we have achieved. We expect the sales and marketing expenses to start trending down in absolute dollar terms this year, as we continue to scale with greater efficiency, benefit from strong organic user growth and solidify our market leadership in the region. On the monetization front, E-commerce adjusted revenue grew over 16x year-on-year to $290.7 million for 2018 as ramp up our monetization efforts during the year. And in the fourth quarter adjusted revenue grew more than 78%, compared to the third quarter to $126.9 million. Moreover, we expect Shopee to record a positive quarterly of adjusted EBITDA before allocation of the headquarters' common expenses for the first time in the first quarter of 2019 in Taiwan. We see the same dynamics around network effects that accrued to clear leader in a two-sided marketplace model starting to play out in our other markets. Shopee's ability to grow rapidly over a short period of time to achieve regional market leadership is a testament to its successful strategy and ability to execute that strategy efficiently and effectively. Shopee has been focusing on building a mobile-centric socially engaging marketplace with an emphasis on high margin products from a highly diverse seller base. In addition to that, Shopee has also combined its marketplace offering with integrated payments, logistics, infrastructure and the comprehensive seller services. And looking to the year ahead, we believe this strategic focus and our proven track record of successfully executing on our strategies we'll continue to drive growth at Shopee. In 2019, we intend to focus on growing with efficiency, while looking to further ramp up monetization through deeper engagement with our sellers and the buyers. To sum up, I'm very proud of our performance in the fourth quarter and the full year of 2018. Across the business, 2018 was a transformative year as Shopee extended its lead in E-commerce and Garena emerged as the leading global game developer and publisher. We enter into 2019 in a stronger position than ever before, poised for growth on all fronts. We are hugely excited for the year ahead and have once again set ambitious growth targets for ourselves as reflected in our guidance for 2019. With that, I will invite Tony to share more about the financials.
Tony Hou: Thank you, Forrest, and thanks to everyone for joining the call. We have included detailed quarterly financial schedule together with a corresponding management analysis in today's press release, so I'll focus my comments on the key financial metrics. We see overall our fourth quarter total adjusted revenue with $389.3 million, an increase of 137% year-on-year and 60% quarter-on-quarter. This was mainly driven by the growth of our Digital Entertainment business, especially for our self-developed game, Free Fire, and our continuous monetization efforts in our E-commerce business in the past quarters. Digital Entertainment adjusted revenue was $231.4 million, an increase of 63% year-on-year and 60% quarter-on-quarter. The growth was primarily driven by the enlarged user base, and the improvement in the monetization of our portfolio games, especially Free Fire. Digital Entertainment adjusted EBITDA was $105.2 million, doubled year-on-year and an increase of 96% quarter-on-quarter. Thanks to the strong topline growth and our self-developed game accounting for an increased share of revenue. E-commerce adjusted revenue was $126.9 million, up 78% quarter-on-quarter from the third quarter of 2018. Of this $126.9 million in adjusted revenue, marketplace revenue was $87.6 million up 884% year-on-year and 74% quarter-on-quarter, while product revenue was $39.3 million up 9,725% year-on-year and 88% quarter-on-quarter E-commerce adjusted EBITDA loss was $277.5 million as we continued our investments to fully capture the market opportunity in the region. We will continue driving the high quality growth by serving users' needs better and improving the operational efficiencies. Digital financial services adjusted revenue was $3.1 million, a decrease of 25% year-on-year from $4.1 million in the first quarter of last year, as we focused our efforts on strengthening the infrastructure to support our existing platforms. Adjusted EBITDA loss was $9.8 million in the fourth quarter of 2018 compared to a loss of $7.6 million in the same period of 2017. Returning to our consolidated numbers. We recognized a net non-operating income of $53 million in the fourth quarter of 2018. This was primarily due to a fair value accounting driven valuation gain of $61.2 million from the convertible notes we issued before our IPO. We had a net income tax expense of $3 million in the fourth quarter of 2018, which was primarily due to corporate income tax and withholding tax recognized in our Digital Entertainment segment. Finally, our adjusted net loss, which is net loss adjusted to exclude share-based compensation expenses, and the fair value change for the pre-IPO convertible notes was $321.2 million in the fourth quarter of 2018 as compared to $199.6 million for the same period in 2017. I will conclude with our guidance for the full year of 2019. We currently expect Digital Entertainment adjusted revenue to be between $1.2 billion to $1.3 billion, representing year-on-year growth of 82% to 97%. In addition, we expect E-commerce adjusted revenue for the full year of 2019 to be between $630 million and $660 million, representing year-on-year growth of 117% to 127%. With that, let me turn the call back to Howard.
Howard Soh: Thank you, Forrest and Tony, we are now ready to open the call for questions. Operator, please proceed.
Operator: Thank you. And we will now begin the question-and-answer session. [Operator Instructions] And the first questioner today will be Miang Chuen Koh with Goldman Sachs. Please go ahead.
Miang Chuen Koh: Hi, good morning. Congrats on the strong results. A few questions from me for games, the player ratio was up significantly Q-over-Q. I presume this is mainly Free Fire. But has the monetization started already in the second quarter? Why is there such a big jump, I guess, 4Q? And for games as well, in terms of your FY 2019 revenue guidance, is the expected growth just coming from Free Fire and Speed Drifters or does it include other new games from Tencent or even your own? And then, a couple of questions and few comments if I may, as well – I'm sorry. So the cost of services for E-commerce continues to rise quite a bit more than revenues. I know there are some explanation in press release on the cost items that contribute to that. However, could there be more color that, a bit more specifics on other perhaps cost increases that or cost buckets that we should be aware of? And when can we see revenues trend more in line with increase in cost of services as well. And then finally, on the E-commerce revenue guidance for FY 2019, is the Y-o-Y growth expected to come more from higher take rates from GMV increase? Thank you.
Howard Soh: Sure. Great. Thanks for your questions. Let me start from the first one on the Garena side of things. You talked about overall player ratio for – has bended upwards, that's right. Yes, it is actually a reflection of the fact that the player ratio for Free Fire has gone up. You're right that we have bottomed up, I think, the game a bit earlier on. But recall that during the previous call, I actually mentioned that whenever we get high potential game, our first part, our duty is really to make sure that as many people as possible are playing the game. Now that we have the numbers and as Forrest shared, more than 350 million registered users over 100 million MAUs and peak DAUs of over 40 million. Now that we are in that position, we think that we are able to turn on the monetization levels a bit more strongly. So what you're seeing is that a lot of efforts in terms of our fourth quarter is really being focused in terms of converting free users to becoming paying users. As a result that has affected the payer ratio and subsequently adjusted revenues for the fourth quarter. If we think about the 2019 guidance on the Garena side of things, yes, it's true. It's actually quite robust in terms of where we think we're going land in terms of the overall guidance being $1.2 billion to $1.3 billion in the adjusted revenue for Digital Entertainment for 2019. It is coming off the back of a couple of things, you mentioned like Free Fire as well as some of our new titles like Speed Drifters. But it's really a reflection of – and we're reaping the dividend of a shift in our overall strategy. When we set out several years ago, we were both primarily a PC-based pure publisher focused on solicitation in Taiwan. And now we successfully made a transition towards being a lot more mobile centric from being a pure publisher to going into self-development. And of course, with the success of Free Fire, that's really given us a passport to spread our wings beyond solicitation in Taiwan to a lot of global emerging markets. So access to places like Latin America, where Free Fire was top ranked game in Brazil in 2018 by MAUs, dollars and consumer spend and a top five for each of these items in Mexico and Argentina. Needless to say, that really has great implications in terms of our total addressable market for the future. I will let Tony weigh in, in terms of the questions with regard to Shopee on the cost of services.
Tony Hou: For the cost of services, yes, you're right. It's mainly the volume driven thing. If we look at our cost component it mainly are bank transaction fees and also the cost of value-add services like logistics services. And as the volume is ramping up, the cost of sales is also ramping up as well.
Miang Chuen Koh: Finally – and sorry, and could you mind running us through that last question again also in terms of like EC revenue guidance? Yes. So I'm just wondering the Y-o-Y growth in EC revenues, is it coming more from higher take rates that you expect or more from GMV increase Y-o-Y?
Forrest Li: Yes. So we actually think that it's going to be a combination of both. With GMV wise it's still going to continue to grow very, very robustly. At the same time, we've also indicated that once we gained a good measure in terms of being the market leader, we can also look – it is within our ability to start looking at monetization a bit more deeply. And that's something that we've started to do already in the first quarter and you see it continuing to echo out throughout 2019. It'll come from a combination of commissions as well as advertising as well as value-added services. Thank you.
Miang Chuen Koh: Got it. Thank you.
Operator: And our next questioner today will be Alicia Yap with Citigroup. Please go ahead.
Alicia Yap: Hi, good morning. Forrest, Tony, Howard. Congratulations on the strong quarter and also the strong guidance. I have some follow-up questions on the Digital Entertainment regarding the fourth quarter and also the guidance. On the fourth quarter, can you share with us outside of the Southeast Asia regions, how much is the Free Fire now contribute? And then regarding in terms of the guidance, I think how confident are you and then what sort of scenario that you are baking in to come up with the guidance? In more detail what I mean is, can you share with us, if these coming from the gross billing and obviously the defer that you have and then also you're assuming Free Fire will continue to improve right on the user front and also the monetization? And then also if you can give some colors on the Q-o-Q splits, that will be helpful. Then second question is on E-commerce, also wanted to follow up. I realized at this time you guys are giving the adjusted revenue guidance rather than the GMV, which I think is indicative of your much more confidence in terms of the monetization. But then could you share with us maybe the implied GMV guidance from – the net revenue guidance that you have? And also if you can also give a little bit color in terms of, let's say, the growth rate on revenue on E-commerce, if we were to rank by country is it come from let's say Indonesia or other country? If you can kind of give us some colors in terms of the ranking and in terms of the growth rate that will be helpful. Thank you.
Forrest Li: Okay, thank you, Alicia. So, let's start on the Digital Entertainment side of things. So, outside of the core markets, right, of Southeast Asia and Taiwan, we achieved this growth that – in terms of like our revenue – adjusted revenue coming in from global emerging markets. So meaning outside of that core region, it was 28% in the first quarter. So – and then when you – we're talking about things such as the overall scenarios that we've mapped out in terms of the revised – in terms of the new guidance for 2019, it comes down to a combination of factors. First of all, in terms of continued success on the Free Fire front, I think that's true. We have already started very successfully converting a lot of the free users to join paying users. But at the same time, we believe that there's also some optimization work that can happen in terms of trying to upscale the amount of ARPU pull or the average revenue per paying user on the Free Fire front. At the same time, keep in mind that our publishing efforts continue to be very robust and that has materialized most recently in terms of PUBG LITE. At the same time, we also have a very strong pipeline of games coming in from our right of first refusal arrangement with Tencent, again, culminating in Speed Drifters. I would say that in combination to all of these different growth factors, we also have our own self-development studio. In terms of 200 developers that we have in our studio, all of them are continuing to work, not just in terms of building new content for Free Fire, but also they are experimenting with new genres, new features, new game titles. So we're quite optimistic about the fact that we continue to have a very robust pipeline that will seal growth looking forward. If we think about – shifting gears to the E-commerce side of things, entire GMV guidance probably – you're right that in terms of the way how we've chosen to guide in 2019, we're focusing very much in terms of adjusted revenues and we point better picture of landing within $630 million to $660 million for the year. We believe that that's a pretty direct indicator of overall performance of E-commerce businesses. As a result, we've chosen to guide on that. We probably won't provide guidance in regard to GMV per se, but we continue to report it just as we have during this quarter. Unfortunately, we can't dive too much into the specific nuances of each market. But suffice it to say we are seeing continued strong robust results in terms of Indonesia. We actually on previous call you might recall that we claimed that – we believed we were the market leader in Indonesia by virtue of our 700,000 orders per day on average. And what we've done since then is we've built on that leadership position and closed in at 83.8 million orders in the fourth quarter or an average of 900,000 orders per day. For 12.12, during the December 12 festival, we actually saw 5.4 million orders coming in from Indonesia alone in that single day. So I think we're pleased here to say and we hope you agree that not only are we the leader in Indonesia, but we've also built on that lead quite substantially.
Alicia Yap: That's very helpful. Can I follow up just quickly on the Digital Entertainment guidance. So is that fair to interpret correctly from your comment just now that you have baked in PUBG LITE and also some new games that you are planning in the rest of the year from the Tencent portfolio? Thank you.
Forrest Li: Yes, it is correct Alicia. It's pretty much a holistic view of the performance of our Digital Entertainment efforts.
Alicia Yap: Okay, thank you, congrats again.
Forrest Li: Thank you.
Operator: And our next questioner today will be Mike Olson with Piper Jaffray. Please go ahead.
Mike Olson: Hi, good morning. I was wondering if there are any additional details you can share about 2019 profitability expectations? For example, just from a high level, are your early thoughts on EBITDA for the year – for the EBITDA loss to improve or worsen in 2019 compared to 2018? And then, when could we potentially expect additional self-developed titles? I'm sure you're really focusing resources on Free Fire at this point. But can you provide any thoughts on the pipeline for self-developed titles like will what see potentially see one new self-developed title in 2019 or is that more of a 2020 event? Thanks.
Forrest Li: Great. Thanks for your question. So, let's discuss first in terms of profitability for 2019. So what we have observed is really that on terms of the Shopee front of things, sales and marketing has really declined, like coming in from like 8.5% as a percentage of GMV a year ago to 5.7% in the third quarter of 2018 to 5.4% most recently in the fourth quarter of 2018. At the same time, we see the trend effect on the other side of things. We've seen adjusted revenues as a percentage of GMV really rose to 3.7% in the fourth quarter. So we're seeing a narrowing in terms of both lines coming to intersect. And while we can't paint a picture with regards to precisely when the Shopee business will achieve breakeven, I think Taiwan case study actually painted pretty good picture. When we said that you can see the results really in terms of our Taiwan – the successful execution of the Shopee strategy in Taiwan, specifically when it was the first market where we started to monetize about two years ago and when we mentioned earlier that we expect Shopee to record a positive quarterly adjusted EBITDA before the allocation of HQ costs, for the first time – for the first – in the first quarter of 2019. So we do believe that the greater trends of deeper monetization, lowering of shipping subsidies and sales and marketing expenses that we are witnessing in Taiwan, we're actually seeing a lot of that echo out into the other markets as well. So we're quite pleased and positive about that. In terms of shifting gears to Garena, in terms of self-developed titles, it's pretty early to tell and we don't disclose our game pipeline for competitive reasons. But needless to say, you can be assured that we are hard at work in terms of trying to develop new genres, new titles, and new features for the future.
Mike Olson: Thank you.
Operator: And our next questioner today will be Varun Ahuja with Credit Suisse, Singapore. Please go ahead.
Varun Ahuja: Yes. Hi, good morning, everyone, and congrats on a great set of numbers. First, I just want to – on the Digital Entertainment, can you provide little bit color on the margin front? Because the fourth quarter is – looks pretty strong on margin and first quarter you're guiding for much better margin than the fourth quarter. So for full year how should we think about – because your revenue guidance on Digital Entertainment is very strong, so how should we think about the margin profile any color will be helpful. Secondly, in terms of guidance for E-commerce, can you provide little bit color, what – how much is product revenue? How much is marketplace revenue that you're looking at in the guidance for the revenue for E-commerce business? And if you look at your sales and marketing, you had mentioned that the absolute amount for the shipping subsidies have come off, but – for the fourth quarter. But if you look at on a quarter-on-quarter basis, the sales and marketing has increased. So it means you're spending in somewhere else, some other promotions and stuff. So I just wanted to understand how much of the sales and marketing in fourth quarter is free shipping or the subsidies on shipping front? As a percentage, is it coming off, while the other expenses are going up? So wanting to understand that thing. Then the number fourth is can you talk a little bit about the fundraising if you may have to put in for Shopee. I understand there were last year comments being made that you may look at rising at the Shopee level. So given you're burning – not burning, you're investing cash every quarter, which may not last beyond 2019, so any plans on that front will be helpful. Thank you.
Forrest Li: Thanks, Varun, good to speaking with you. So let's take it from the top. In terms of your first question on margins, yes, you're right. In terms of the EBITDA margins on the Digital Entertainment side of things, third quarter we had a 37.2% that has improved pretty substantially to 45.5% in the fourth quarter. In terms of just giving more color there. It's really a combination of we would say three factors. First of all, just overall strong top line growth coming in from Free Fire as well as some of the other game titles. There is also the fact that a self-developed games, so in this case, Free Fire accounted for a greater share of revenue and that has led to an improvement in terms of EBITDA margins. And of course, we've also seen greater efficiency in terms of our marketing efforts and that helps just to stretch the dollar. That's probably the color that we can provide in terms of EBITDA margins. In terms of E-commerce guidance, unfortunately we probably cannot breakdown a little into any more granularity with regard to the guidance in terms of marketplace product – versus product revenue. But that's something that we disclose in our earnings. So if we look at the composition of the fourth quarter, particularly, if we look at where we ended up at $126.9 million, roughly $87.6 million was marketplace and roughly 39.3% was product. In terms of the sales and marketing, let me try to contextualize and frame your question. So if we look at it from a big picture kind of view, sales and marketing overall as a percentage of GMV fell from 5.7% in the previous quarter to 5.4% in the fourth quarter. And something else that we said with the sales and marketing, in terms of absolute dollars, we expect that to trend down this year. And part of our ability to do that really stems from the fact that we are now the market leader. We are continuing to get outsized benefits from the flywheel effects where more and more buyers and sellers flock to the Shopee ecosystem. What this means essentially is that we get a lot in terms of organic user growth. So we don't actually need to continue to invest as much in terms of sales and marketing in order to post very robust growth rate. One thing that you pointed out particularly on this question was that shipping subsidies. What we'll say here is that, shipping subsidies have really fallen in terms of absolute dollar terms if we look at the fourth question relative to the third quarter. But keep in mind that, although we've pulled that back, at the same time GMV grew by 27% quarter-on-quarter and orders grew by 31% quarter-on-quarter. This really proves that we can grow with increasing efficiency. And you are right, we have redeployed some of that budget towards more discretionary type of marketing activities. But over time what we found is that, initially when buyers are a bit less well-acquainted with any particular E-commerce platform, perhaps free shipping or subsidized shipping becomes an important tool for them to try out the platform for the first time. But when you are in a position where Shopee is where – people are very familiar with you, then other factors become very important. Things like product assortment, ease of discovery, deeper engagement, and very high quality fulfillment and customer service, all of which are pretty much hallmarks of the Shopee experience. And then finally, in terms of your question on fundraising, as of the end of the fourth quarter, we had overall $1 billion in cash and cash equivalents. We're very encouraged by our most recent results, in terms of Shopee. At the same time, we also have Garena which continues to exceed our expectations. We have great accomplishment on the adjusted revenue front with over $661 million in 2018. We think all of this puts us in a very, very strong position. At the same time, as a management team, we are very committed to growing our business and market leadership in what we think is a very large and attractive market opportunity. To that end, we will continue to evaluate our fundraising options and may access the capital markets as appropriate.
Varun Ahuja: Thank you.
Operator: [Operator Instructions] Thank you. And our next questioner today will be Conrad Werner with Macquarie. Please go ahead.
Conrad Werner: Hi, there. Thanks, it's Conrad from Macquarie. First question is just, in the past – and I'm sorry, if you've already disclosed this, you also mentioned what percentage of adjusted revenues in the games business was directly coming from Free Fire. So I'm wondering if you could provide that again. And then just to follow up on some of the previous questions. I mean, everything in the results looks great. I think the market would just still have that one outstanding question around the cadence of EBITDA losses in the E-commerce business. Would it be fair to say that the fourth quarter EBITDA loss might represent a high watermark going forward on a quarterly basis? Given all of the positive revenue trends that you're calling for plus some of the efficiency that we're seeing on the sales and marketing side, at least in terms of the shipping subsidies? I think any color around that would be very useful. And tied to that, is there any seasonality to expect in the business? I mean, you had a couple of big sales events in the fourth quarter for the E-commerce business, they were very successful. Does that sort of impact the quarter-over-quarter trends in the first quarter for E-commerce? And then just lastly on the shareholder's equity, is there a plan or a need from your perspective to move that more into a positive number over the course of 2019 and how would you do that? Thank you.
Forrest Li: Hey Conrad, thanks for your question. So first question is on the percentage of adjusted revenue from Free Fire, yes, we did disclose this. We said that for a fourth quarter it accounted for 44 – excuse me, 44.5% of adjusted revenue…
Conrad Werner: Sorry, I missed that, thanks.
Forrest Li: Yes. That's great. So the second one in terms of cadence of EBITDA losses, would it be fair to say fourth quarter EBITDA losses represents a watermark in terms of EBITDA losses? I think that's – it's fair to characterize it that way. If we think about what we've disclosed, we kind of said that we expect overall sales and marketing in terms of absolute dollars to continue to trend down starting from this year. So I think that that characterization is accurate. The third question on seasonality. I think that's true. We have seen quite an outsized response in terms of great consumer demand leading in from our 10.10, 11.11 and 12.12 festivals and so like there is some price seasonality in the E-commerce business just as there is as well for the games business. Then shareholder's equity question perhaps, I will let Tony weigh on this.
Tony Hou: Yes. So you well pointed out. And as shared by Howard earlier, we have $1 billion on the balance sheet in cash. And we have seen very strong performance in our game business and also strong pickup in our E-commerce business as well. In the meanwhile, as we shared, we're open-minded about the option and closely monitoring the market positions.
Conrad Werner: Thanks for that. Maybe just to follow up on the seasonality question. I mean, given the strong just organic growth in this business even with the seasonality, should we still expect the revenue metrics to be up sequentially in the first quarter just by not as much or is there a chance that we could see them come down sequentially before they start rising again over the course of 2019? Thank you.
Tony Hou: And the expectation is that it will rise. And that is also reflected in our adjusted revenue guidance for the year.
Conrad Werner: And that applies to the first quarter as well?
Tony Hou: That's right.
Conrad Werner: Thank you so much.
Forrest Li: Thank you.
Operator: [Operator Instructions] Our next questioner will be John Blackledge with Cowen. Please go ahead.
Unidentified Analyst: Hi, this is Bill on for John. Congrats on the strong quarter and thanks for the questions. I had a couple if I could. Could you just tell us little bit more about what you see as the drivers of GMV and monetization in the first quarter? And then just a little bit more color on the logistic services and value-added services, how those performed versus your expectations and what do you kind of see as the long term view for those businesses over the next few years? Thank you.
Howard Soh: Hey, Bill thanks for your question. So in terms of the E-commerce side of things, drivers of GMV and monetization, couple of things to say here. I think that when I was asked on the previous call what accounted for the great GMV acceleration in third quarter, I kind of said that Shopee is really coming to its own. I think, number one E-commerce platform in the region. And I think that's more true today, even as short as three months ago. If we just look at the fact moving from $0 of GMV to over $10 billion of GMV in the three year timeframe, our success in terms of Indonesia where we had 900,000 orders per day and when App Annie said and has declared that we were most downloaded app in the shopping category in Southeast Asia and Taiwan for the entire of 2018. I think all of these provides really strong evidence that we are the number one player in Indonesia, in Taiwan and the region as a whole. If we think about our ability to continue to monetize, there are number key drivers behind this growth. First of all, Shopee continues to experience robust platform growth and we've expanded our leadership position across the region and market-by-market. Secondly, we're observing a deepening of user engagement on the platform as we continue to enhance our service offerings to both buyers and sellers, being through a wide assortment of our service offering as well as innovative gamification elements, standard tools and value-added series. Thirdly, we're currently rolling a fuller spectrum of monetization avenues since January this year and we plan to continue rolling out even more of these over the course of 2019. For example, we've recently rolled out commissions for more sellers in Thailand and Indonesia and we've rolled out handling fees across multiple markets. So looking ahead, we continue to grow – focus on growing with efficiency on the E-commerce front. We will leverage our organic user acquisitions opportunities and we'll ramp up monetization as we deepen our engagement with both buyers and sellers. In terms of your question on VAS, it's pretty much performing in line with our expectations. As you can imagine, it is – we're really solving a fundamental need here that has been unaddressed by – largely its unaddressed by any sort of player in our region. So you can imagine that there's been outsized demand coming in for those value-added services that we provide.
Unidentified Analyst: Okay, great, thank you so much.
Operator: [Operator Instructions] And our next questioner will be Andrew Orchard with Nomura. Please go ahead.
Andrew Orchard: Hi guys, thanks for taking my question. Question on E-commerce, can you us some color on what percentage of your orders is from organic lead generation and how much is coming from affiliate websites such as Freeza [ph] or other websites? And then on the gaming front, can you give us some color on where you expect this between self-developed and non-self developed games to be eventually? May be not necessarily for this year, but 2018 – at some time? These are my two questions. Thanks.
Forrest Li: Great. Thanks, Andrew. So we probably can't provide more color in terms of the exact split, in terms of orders. What we will say is that we've got – where we see in terms of the overall trajectory of our orders, we've seen acceleration in terms of orders and going from zero to more than 600 million orders in a timeframe of three years we think it's a pretty remarkable accomplishment. On the other hand, when we talk about the split between self-developed and non-self developed games, recall, during one of the previous calls we actually did paint a picture where we said about 50% of that's going to come in from self-developed games and 50% of that is going to be published. What we've seen on Free Fire front particularly is that now, Free Fire already accounts for 44.5% of our self-developed assets for the fourth quarter. So we're well on our way to hit those targets.
Andrew Orchard: Do you think that it might exceed that more significantly as we get to stage where it might be 60/40 or 65/35?
Howard Soh: We do think that's possible and we wouldn't necessarily say that that's negative thing. Given the fact that it is our self-developed title, it does lead to a better EBITDA margins for the business. And we've seen how that has been a real – has really resonated with a global audience. We're seeing how it's done really well, not just in our core market, but also across all sorts of different markets such as India where it's continuing to get a very strong user base.
Andrew Orchard: Okay, thank you.
Operator: [Operator Instructions] And our next questioner today will be Conrad Werner with Macquarie. Please go ahead.
Conrad Werner: Sorry for the follow up, but just to follow up on that previous question around the additional color around the monetization in E-commerce is it fair to say that the guidance for 2019 is still – does not assume much in terms of commissions outside of the MAU business? In other words, the commissions for more of the marketplace business would be sort of something that happens in 2020 and beyond or are you already assuming some of that in 2019?
Forrest Li: Yes. Thanks, Conrad. So we are assuming some of that's occurring. So it will be different levers that we activate in different markets. We have to almost take it on a market-by-market basis. But what you're seeing in terms of the guidance for 2019 adjusted revenues for E-commerce, that's all-in holistic view in terms of all the different monetization levels that we will pursue for the year.
Conrad Werner: Okay, thanks, and sorry again, if I missed this before, was there a split provided between PC and mobile adjusted revenues in the release or is it possible to get on this call?
Tony Hou: Yes, it was provided so yes we can...
Conrad Werner: Okay, I'll look it up then.
Tony Hou: Yes. It was just 85.1% – just for your quick reference.
Conrad Werner: Thanks. Sorry I was late to look at the release. Thanks.
Operator: And our next questioner today will be Miang Chuen Koh with Goldman Sachs. Please go ahead.
Miang Chuen Koh: Hi, couple follow-up as well. On Free Fire, can you elaborate a bit more on what's sort of monetization tools you actually deployed in fourth quarter and how should we think about those monetization tools this year as well? I know you mentioned, of course deepening that, but I just would like some specifics. And as you go into orders or see great success in orders global markets, Latin America, et cetera. Would you be expanding or adding headcount in those areas as well? And are there other geographies that you see similar opportunities beside Latin America? And then finally, should we expect a few more games from Tencent, I guess, this year as well?
Forrest Li: Thank you. All right. Great. Thanks MC. So first question, terms of monetization tools deployed the fourth quarter on the Free Fire front. Recall that the – one of the most effective tools in terms of us converting free users to paying users has really been the subscription process that's pushed out. So this subscription process, they're very affordable. And in terms of like the transition from being a free user going a paying user, it's very, very low ticket being about an average of U.S. $5 per month. It needs a lot of repeat behavior in terms of being a subscription type of tool and it gives you access to a whole host of content you would otherwise get as a free user, so that's been a effective tool. And once individuals start investing in the game, then there's a higher propensity for them to participate in other avenues such as buying costumes and skins and so on. One thing that I will mention is that, the subscription process are also team based, so we tend to push out monthly sort of teams around the subscription process and that leads to a lot of opportunities for deeper localization and engagement with users. In terms of success in global markets and if we're seeing any sort of restructuring, I think questions – your next couple of questions are kind of interrelated. So we will say that we've seen lots of great success in terms of our initial foray into Latin America. But at the same time, we are seeing great user traction and growth numbers in markets like India, Russia, and Turkey. According to App Annie, throughout the month of January, Free Fire was consistently ranked as the top three grossing action game on the Google Play Store in India and Russia and within the top six grossing action game on the Google Play Store in Turkey. So we believe that Free Fire's unique position as a premium battle royale title, which is optimized for emerging market users, has a lot of again to achieve popularity and success in other global markets as well. Does this lead to investment in terms of on-the-ground infrastructure and personnel? Sure, we will make those investments in order to make sure that we deliver the best game experience to our users.
Miang Chuen Koh: Yes, and then well, we expect more Tencent games as well besides Speed Drifters for the remainder of the year?
Forrest Li: Sure. So I think the short answer to you, stay tuned in terms of our announcements. We, obviously, can't speak about our games pipeline. But we are quite excited about what we see when we look across the Tencent portfolio. Thank you.
Miang Chuen Koh: Got it. Thank you very much.
Forrest Li: Thank you.
Operator: And this will conclude our question and answer session. I would now like to turn the conference back over to Howard Soh for any closing remarks.
Howard Soh: Well, thank you very much everyone for your time. We look forward to speaking with you again on the next call.
Operator: The conference is now concluded. Thank you for attending today's presentation and you may now disconnect your lines.